Operator: Good morning, and welcome to Radius Global Infrastructure's First Quarter 2021 Financial Results Conference Call. During management's presentation, your line will be in a listen-only mode. At the conclusion of prepared remarks, there will be a question-and-answer session. I will provide you with instructions to join the question queue after management's comments. Today's conference is being recorded. I will now turn the call over to Jay Birnbaum, Radius’ General Counsel. Please go ahead, sir.
Jay Birnbaum: Thank you, operator, and welcome everyone to the Radius Global Infrastructure first quarter 2021 earnings call. Before we begin, I would like to remind everyone that many of the comments made today are considered forward-looking statements under Federal Securities laws. As described in our earnings release and filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed. These statements speak as of today's date and we undertake no obligation publicly to update or revise these forward-looking statements.
Bill Berkman: Thanks, Jay. Thank you all for joining us today for Radius' first quarter 2021 earnings conference call. This quarter marks the one year anniversary of Radius Global establishment as a publicly-traded company, having completed our founding UK, London Stock Exchange listing transaction February 2020, just prior to the onset of the pandemic. Despite the challenges faced by operating a global business during that time, we have significantly scaled the size of the company, including another quarter of accelerated growth in capital deployment and acquired rents in the first reporting period of 2021. Specifically, during the first quarter, we invested approximately $108 million of Acquisition CapEx and acquired approximately $8 million in additional annual in-place rents, continuing the trend of accelerated capital deployment reported in the fourth quarter of 2020. With these newly acquired rents, our total annualized in-place rent has increased to a run rate of $90.6 million, a year-over-year increase of 49%. In addition, this scale in recurring rental revenue continues to drive operational leverage relating to our origination platform and related costs. The scope of digital telecom infrastructure assets, which we are evaluating continues to expand, not only by the amount of capital investment, but also by asset type. Our extensive multinational origination network continues to uncover and capture accretive mission critical digital infrastructure assets, ranging from our core leasehold interests underlying wireless cell sites, and distributed antenna systems to fiber connection-rich communications routing sites. All of the assets we acquired have similar attributes that meet our underwriting criteria. Mainly, they represent durable, low risk, triple net real property rental streams, paid by the world's largest communication operators and infrastructure companies, representing underwritten equity risk adjusted levered returns target in the low to high teens, depending on jurisdiction and current jurisdiction. To support our growth plan, in the quarter, we completed two incremental debt financings of $94 million and $75 million, with the $94 million that was in euros, which was €77 million, respectively. And last night, we completed a PIPE equity offering of $200 million in common equity, for a combined raise for the quarter of $369 million, representing both debt and equity. All these stock funds will be used to continue our pace of capital investment, which we are optimistic will continue throughout 2021.
Glenn Breisinger: Thanks, Bill. The capital deployed in the first quarter added meaningful scale to our portfolio. As of the end of the first quarter, we own 5,627 sites with 7,435 lease streams, represented by a high credit quality tenant base comprised of 42% tower companies, and 58% mobile network operators. With respect to our annualized in-place rents, at the end of the first quarter 62% represented by Europe, 24% by North America, and 14% by South America. In the first quarter, our platform generated 3.8% growth from escalators and other organic growth, offset by 1.2% of gross churn. Revenues were up 42% to $22.2 million over the first quarter of 2020, and gross profit rose to $21.9 million, up 41% over the prior year. As Bill mentioned earlier, we grew our asset base by $107.8 million in the quarter, compared to $28.4 million last year, representing a 280% increase. This level of deployment added $8 million in rent, 216 new sites, and 251 new lease streams. We anticipate that these new lease streams will generate a fully burdened initial cash yield of approximately 6.9%, reflecting the acquisition of longer-weighted average property right terms, as well as more emphasis on acquisitions and non-emerging market jurisdictions, where individual asset returns are higher. With the growth of our portfolio, operating G&A is improving significantly from last year, and beginning to reflect the benefits of increasing scale. We anticipate this trend will continue as we deploy incremental capital. Turning to our balance sheet and liquidity, at March 31, we had $814 million total gross debt outstanding and net debt of $673 million. The debt carries a weighted average cash 2.04%. Overall, our debt has a weighted average term of 6.9-years, and our first maturity of $102 million is in 2023. In the quarter and subsequent to quarter-end, we completed two debt financing, a €77 million denominated or $94 million U.S. dollar, eight year floating and fixed rate interest note under an existing international credit facility. In April, we issued $75 million in debt, secured by U.S. rental streams at 98.25, with a 6% cash pay maturing in April 2023.
Bill Berkman: Thanks, Glenn. That concludes our prepared remarks. Operator, can you please open the call for questions? Thank you.
Operator: Thank you. We will now be conducting a question-and-answer session.  Thank you. Our first question comes from the line of Ric Prentiss with Raymond James. Please proceed with your question.
Ric Prentiss: Thanks. Good morning, everyone.
Bill Berkman: Hey, Ric.
Ric Prentiss: Hey, obviously a strong quarter on the acquisition front. Can you help us understand a little bit about the asset type and locations where you were able to put this capital work here in the first quarter?
Bill Berkman: Sure. As you can imagine, a substantial amount of course is our wireless ground-related assets. In addition, we've got both fiber regeneration point, as well as fiber aggregation points, as well as indoor distributed antenna system rents that we've also included. And that has assisted us, as you can imagine, in accelerating our origination investments.
Ric Prentiss: And obviously, I guess, the $300 million question is, how's the pacing, as we look going forward? Last quarter call, doesn't seem that long ago, you talked about kind of the goalposts of what you could do. If we look at the $118 million last quarter, $108 million in the first quarter, you were for a long time doing just $50 million to $100 million in a year. You guys are doing like $100 million a quarter. How should we think about the pace? And where you're going from here?
Bill Berkman: It's a great question. I think starting with the last part, what changed is the addition of enough of an additional asset class. We came to the conclusion in both our underwriting and otherwise that the distributed antenna systems, and the fiber-related properties have exactly the same characteristics as our wireless properties do. I'd say the only difference that we typically find is that we're buying fee simple, at least for the fiber properties, which is a fancy way of saying it's sort of 99-years in life rather than less than 60-years. And that typically means that you're going to put more money up for a given amount of rent that you're buying, because you get a longer duration. So, I think the other thing I'd say is those rental streams on average are larger than what wireless rents typically are. So that, of course, relates directly to increased origination amounts. And then the third one is we're not only primarily focused on doing it in Europe, but you would imagine, we're open to expanding this additional asset class everywhere where we have existing operations. And we still are hopeful that we'll enter into new jurisdictions as well. As to the goalpost, I think optimistic is the word because we still haven't come up with, I guess, a forward metric that's making us comfortable to give real hard guidance. We're still wrestling with it. I think by the next quarter, we'd like to come up with a way, but we just didn't have a chance to do it this time. I hope that's okay.
Ric Prentiss: Yeah. Very good. Thanks, guys.
Bill Berkman: Thanks, Ric.
Operator: Our next question comes from the line of Sami Badri with Credit Suisse. Please proceed with your question.
Bill Berkman: Hey, Sami
Sami Badri:  Hi, thank you. Hey, guys. The first question I have is on the organic growth and how it just slowed down a little bit versus prior quarters. Can you just walk us through why that slowed down?
Bill Berkman: I'm going to turn it over Glenn in a second, but I would just give you the macro observations and remind you that every year we don't buy the same -- excuse me, every year with those rents that are growing, we have an FX impacts that happen just as part of the macro. Glenn, do you want to address that?
Glenn Breisinger: Yes, I can address that. So it's down a bit and it's really related to the revenue enhancement component, Sami. The contracted escalators are pretty consistent. And I think our consistent conversation around this has been that we thought our revenue enhancement component generally would run from three quarters to 1.5% on a growth rate basis. And the 2020 growth rate of 2% was higher than we anticipated. So we think we're in that, -- the 1% on the net organic growth seems to be more consistent with what we've seen historically and what we expect.
Sami Badri: Got it. Thank you. The other question I had was on the SG&A, as a multiple of rent acquired you guys had a slide in your deck last quarter. There is one this quarter. Can you just walk us through kind of ratios in this cycle?
Glenn Breisinger: Sure. So, specifically, with respect to the slide on how to view Radius, we're seeing significant scale on the SG&A expenses. And if we're looking at particularly at that slide, I think you're focused on the Column B. And that shows not only the acquisition CapEx, but also shows the SG&A cost associated with acquiring those assets, that we believe would be capitalized if we paid it to a third-party. The silver lining is we get a tax deduction for it in year. However, having said that, with respect to the 2021, $9.1 million that runs as a multiple SG&A, as a multiple rent acquired just over 1.1 turns. And we saw that multiple in the prior quarter, the prior year's quarter, March 31, 2020, that was in the 2.8x multiple range. So we're continuing to see significant scale year-over-year and quarter-over-quarter of our SG&A expense related to the origination platform.
Sami Badri: Got it. Thank you.
Operator: Our next question comes from the line of Walter Piecyk with LightShed Partners. Please repeat with your question.
Bill Berkman: Hey, Walt.
Walter Piecyk: Hey, Bill. If you look at like 2016 to 2019, your acquisition multiples under 9.5 times, and I'm chalking that just by doing the acquisition CapEx over the acquired rent. Obviously, it climbed a little bit last year and then it looks best score to be like 13.5. I think you had just mentioned to Ric's question about paying more for fee simple, or doing fee simple rent agreements for fiber. And that meant you were paying more upfront. Is that the reason that the multiple acquisition multiples are climbing? Or is there a geographic mix shift? Can you just talk a little bit about that? And kind of how we should think about acquisition multiples going forward? Thanks.
Bill Berkman: Sure. No, it's a good question. And it's really, I guess, three buckets to think about. Number one, you pointed out geographic mix shift is value in the money. If we had bought 100% in Brazil, of course, you would all expect the yield to be much, much higher, given the risk reward nature. So you have to always keep that in consideration, recognizing that we're not going to buy the exact same amount of assets in each country, every single quarter. So the mix is constant on a shift. I think the second thing, that's happening within this is the duration as you pointed out. If you were to buy an asset for 20-years, meaning the net present value of 20-years versus that net present value of 99, of course, the 99 will cost more money, but the rent still the same. So you take the rent, divide it by what you cost, you pay it and  But of course, when you're buying 99 you are getting a longer duration or more valuable assets, theoretically speaking, if we all live that long.
Walter Piecyk: So, how much it is vary going forward? Should we just kind of assume a 13 ballpark range and then we will be pleasantly surprised if you get cheaper assets going forward?
Bill Berkman: I hate doing that, because the mix could change, right. If we find it -- that's always where it's hard to actually project and to give you a better sense than that. And the mix can change by country, the mix can change by whether it's fiber-related or wireless-related, whether it's 99-years versus 30-years. You have to -- we'd like to like inside our shop, we're both flying visually and flying by instruments. And the instruments allow us to kind of think very carefully about sort of the overall mix when we do our underwriting, and when we put in place our leverage.
Walter Piecyk: Got it. So your argument is, look, if we're looking at the total value, you buy a 13 it's worth more, because in year 20, you're not going to have to put up some more money to extend that lease with that underlying holder. Understood.
Bill Berkman: That's correct in the 99. The other thing I'd point out is we only bought 20. Typically we could go back in year five and extend that for not very much money to a landlord. So it's almost like an embedded option even though it's not ready…
Walter Piecyk: Do your report duration of the overall asset bundle somewhere in one of these .
Bill Berkman: Yeah, yes we do.
Glenn Breisinger: Yes, we do Walt. And you can see from that slide, it's going to show you two things. It's going to show you a bit of the geographic shift and it's going to show you the lengthening of the term, more so in Europe, which coincides with a geographic shift that we talked about.
Walter Piecyk: I got it. Glenn, can I just give you one follow-up on that geographic shift. You gave the 62% number in your prepared comments. Is the UK still about 25% of the total amount of that 62%? But, are they still kind of in that 25% ballpark?
Bill Berkman: I don’t think we've broken it out, or have we going in the 10-K, and I can't remember.
Glenn Breisinger: Yeah, we tend to do that. The UK, on a percentage basis is a little less, it's about 20% -- 21%.
Walter Piecyk: Got you. Okay. Thank you.
Glenn Breisinger: Sure.
Bill Berkman: Thanks, Walt.
Operator: Our next question comes from line of Jon Petersen with Jefferies. Please proceed with your question.
Bill Berkman: Hi, Jon.
Jon Petersen: Hey, guys. So, just looking at where your rents are coming from, from the tower companies and increased to 42% and it was 30% last quarter. I'm guessing that's American Towers acquisition of the Telefónica portfolio, you can correct me if I'm wrong there. But, my bigger question is, as you're dealing with more tower cos, I guess, how does the dynamic in the relationship shift? And what are kind of the revenue upside or downside impacts from dealing with the tower company versus dealing with a carrier directly?
Bill Berkman: No, it's a really good question. I think, first and foremost, we consider the tower companies, our partners, because they're our tenants. But, we have to have a good symbiotic relationship. I think that clearly the larger we're getting and their continued acquisition of towers means that, we are today and will continue to be their largest landlord, whether it's American Tower, Cellnex, Vantage, and the like. I think, one of the opportunities for us is to, at some point come to some type of agreement, whether it's a master lease, or otherwise, where we both can partner, I guess, in a more tight manner. And you would imagine we speak to all these guys all the time. And, I don't think there's much more to say other than, we'll just keep our head down and keep acquiring and managing our sausage factory, so to speak.
Jon Petersen: Does it increase the possibility that you might sell some of your land parcels to the tower companies down the road?
Bill Berkman: Look, there's always the option to sell at any time. It's really sort of a board related question for us. And of course, it relates to value. That being said, we're always tax sensitive. And also, we really believe that owning a long-term inflation-linked, I guess a revenue stream with associated organic upside, whether it's from the rooftop or otherwise, just has incredible value. So the one I have to sell that they're going to have -- they'd have to really step up to make it worth our while than just outright sell. I think we like hanging on to it, because we're also in this environment, would you want to put your money in many respects.
Jon Petersen: Got it. That makes sense. And you said inflation-linked, so that's a good segue to my next question. So the majority of your rents are indexed to inflation. Are there caps on that? There's some people throwing out some pretty high inflation numbers, would you be able to match that? Or you cap ?
Bill Berkman: I don't believe we have any caps in our leases. But just to remind you, every single lease is different, because we're buying them individually, which is why the master lease concept. If we have call it 1,000 leases with a tenant, they're all completely different.
Jon Petersen: Right.
Glenn Breisinger: Yeah, the only element that I would say is we do disclose the annual escalators, there are no caps. But we do have some higher -- there's sort of some higher CPI OMB, some lower CPI OMB. But basically, by and large, they're all related to changes in market value of the assets.
Bill Berkman: I guess, just to clarify that for a second. We don't have any caps. OMB is a mechanics in one or two countries, that is basically a just renewal negotiation, where everybody recognizes that you're going to get inflation as part of the renewal. It may not happen quarter-to-quarter though in a cycle. But just to be simple, there are no gaps.
Jon Petersen: Got it. Okay. All right. That's helpful. Thank you.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Bill Berkman: Thanks, operator. Look, we're extremely excited about the opportunities ahead. We operate an enormous, an expanding addressable market, as I previously mentioned. And we believe we're well-positioned just to execute our growth plan. I want to thank everybody for joining us today. And we look forward to catching up with you over the coming weeks. Thanks again.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.